Operator: This call is being recorded. Welcome to the Atlas Copco Q2 2023 Report Presentation. For the first part of the presentation, participants will be in listen-only mode. [Operator Instructions] Now, I will hand the conference over to CFO, Peter Kinnart. Please go ahead.
Peter Kinnart: Thank you, operator and good afternoon, everybody for this second quarterly earnings call for the Atlas Copco Group. Together with me is our CEO, Mats Rahmstrom and together we will guide you through the presentation and the questions-and-answers. But before I hand over the word to Mats, I would like to already now indicate to you that during the Q&A sessions, I would really like to insist that you only ask one question at a time in order to make sure that all of the participants have an opportunity to raise their most important question first. And then of course if there is more time left, everybody can get back in the queue to ask more questions subsequently. So thank you for that. And now, with that I hand over to Mats to start the presentation on the quarterly results.
Mats Rahmstrom: Okay. Thank you so much, Peter. I thought I would stay on this before picture, before we start talking about the numbers, because it explains -- firstly, I should say it's in industrial technique business area and they were the honor then to have the picture because they have the highest growth in the quarter. But you can also see how we are combining now in the automation strategy in industrial technique. So everything you see in aluminum there or in steel is different compound (ph) from the different acquisition. You can see it's a K-Flow. So that's the flow drill application. And then we use the ISRA to guide the robot and we also use screw fitting. So it's three different technology then that we combine. And in this case, it's on the KUKA robot, but this can be applied to any robot out there, of course. So this is how we combine. And of course, this is in line with the macro trend that we see to onshoring and automation in Europe and also in Asia, of course, but also the U.S. So I think it's a nice picture that describes a little bit of the strategy. And of course, we can do the same thing with assembly tools or if it's riveting or dispensing. So that's easy to understand how we use the ISRA application on this type of application. Then we go to the Slide number 2. You look at what is received for the quarter SEK43.5 billion. So I think if you look at the graph, you can see it's the second best. I think we already said in Q1 that that was exceptional. So we're very pleased to see the SEK43.5 billion. Compressor Technique organically up 4%. We see the decline on vacuum mainly in semi at minus 28%. Industrial technique, as I said, plus 10%, very strong and Power Technique on minus 12%. So all in all organically down 5%. But then we have help from acquisitions on 7% and currency on 4%. So all in all orders received up 6%. Then on orders invoiced, a record not only for the Group, but fantastically for all business areas. You can see Compressor Technique, they were up 21%,VT, 5% and IT, 28% and PT, 26%, which leads to 18% overall. And on top of that, you had 6% on acquisition and also positive from currencies, 31% growth as well. So if we then go to the profit on Slide number 3, you can see the record profit at SEK9.2 billion and at the margin at 21.2% versus year-on-year, then a 26% growth on operating profit. And then, if we adjust, then only for the option program, it would have been at a margin at 21.9%. And Peter will break that down a little bit later. You can also see the return on capital employed at 30%. You go to Slide number 4, you can see there's slightly red down in North America on the quarter. But if I use some sort of traffic light system here, Compressor Technique, they are green in all regions, flat in North America, but otherwise green everywhere else. Industrial Technique in all these five regions, positive development. The other way around for Vacuum, they are then red in all regions with exception of South America. And Power Technique, they are positive in two regions and negative in three regions. And so we can see a little bit shift there, I would say, extraordinary. It stands really out on the Power Technique business in Asia actually linked to our new pump business. They've done really, really well actually. Go to Slide number 5 and there you just confirm the organic decline of 5%. Let me go to Slide number 6. There you can see the build-up on orders received. As you might recall, we did 30 acquisitions last year and so far this year, we've done 10 in the first two quarters and now it's 11. So 7% help from that. Currency helped us with 4% and then organically then 5% and totally 6%. And the revenues you can see all the way down to the 31%. Slide number 7. Given then the development, of course, the share of vacuum is declining somewhat and Compressor Technique normally around 46%, 47% and continue to grow. So that's the split of the Group. Then if you go to each business area on Slide 8, you have Compressor Technique. We think it's a very solid level. You can also look at the graph still than the second best they have accomplished with the organic growth of 4%, which is order received SEK20 billion. Two division that stands out continue to be gas and process really strong and then service continues to develop well as well. Record revenues, 21% organic growth, SEK18.6 billion. And that leads then to the record operating profit at 24% and diluted. You still had currency and acquisition done. So 37% increase versus last year on operating profit. Then I wanted to highlight this product. It's very small in the picture, but I think it says something about our leaning forward strategy. This is a -- it's like a container then and it's for hydrogen applications for filling stations. So even if the time is fairly small for this type of product right now, you can see that we are ready when we can have more accessibility to green hydrogen. So very strong performance from Compressor Technique. We go to Slide number 9. That's the Vacuum Technique. And of course, it looks dramatic with a decline of 28%. But it's still SEK9.2 billion. And if you look at the graph, in 2021 we did better and to part of 2022. But if you look at that graph compared to what we've done in the past, it's still fairly strong, I would say. And it's still mainly in semi. But the change that we have seen was that we did not have organic growth in the industrial and scientific areas. Solid growth for our two service divisions. That gives us the resilience over time as well. And revenue was up then 5% to SEK10.9 billion. Very good. And also here then record operating profit at the margin at SEK22.9. So SEK2.5 billion and 18% growth year-on-year. On the bottom there you can see sensors that we used to source and we had an older range and now we are building step-by-step our own range. So you can say it's a new platform for growth. I also wanted to highlight in vacuum that they did what I think a very interesting acquisition on Trillium in the US, a service business. This is for the bigger nodes. It gives us access to new customers there as well. And also the Shandong Jinggong in China, which gives us a good manufacturing base for liquid ring pumps. So good development there. Then I think it's fair to say when business is down a little bit what do we do? Well, I think every indication that we have is that CapEx will come back very strong. We don't know exactly when, but it will. So what we are working on right, what did we learn from the last peak on this business? We are working on the product portfolio and we think energy efficiency will be more important than ever before, but also the footprint of our products. So we're working on new generations there. And you have seen the announcement and operational structure. So we need to be present in the US. So we're investing in that, more local for local. We're also investing in China and also in Korea. So I think that demand for capacity will be there. And one other challenge has been the sourcing. Same thing there. We are preparing more dual sourcing and also being more local to be able to act quicker and more local. So there's a lot of ongoing work right now to prepare for the next upturn in vacuum and specifically the semi industry. Industrial Technique on Slide 10. Very strong orders received,10%, SEK7.9 billion and it was automotive that was really, really strong and no surprise this is linked to the EV and battery manufacturing around the world. So we're happy to see that we have products and application knowledge to really get our market share in this new market. General industry, a little bit mixed. Some segments were a little bit flat and some down. So I think it was rather flat. And service also here continued to perform really well. Record revenues 28% organic growth SEK7.3 billion and then you might think that well, do they have delivery issues still? Yes, we still have challenges on some components. So we are really fighting harder to get these kind of volumes out of all our business areas. But I think it's been slightly more challenging in Industrial Technique on power electronics. Record operating profit here as well at 21.8% margin and they actually had the growth from last year with 47%. Power Technique, remarkable journey the last two years and the organic decline this time 12% and what we've seen is that we have had a little bit less interest from the rental company in the US and some smaller cancellations also. That's mainly driven by shorter lead times from our own products. So normally cancel something and they rebook something. So it's not orders lost in any way. But SEK6.5 billion then and it's still the second best, even if it's negative 12%. It's interesting to follow the recent acquisition of our pump companies. They are performing well ahead of our plan. So better volume, better profit and of course over time they will give us reduced seasonality in this business and of course also better service opportunities. So we will continue on this route. It started out really well for us. Record revenues, 26% up SEK6.8 billion and also here the record operating profit at the margin of 19% although that the acquisition are slightly dilutive, but not so much at this point. And here you can see a new range actually of those pumps from LEWA. So I'm happy to see that we're also going to continue to push innovation in these segments as well. And an interesting acquisition NPE in Australia. And we're learning more and more about wastewater treatment, which we also think is one of the megatrends that someone need to take care of and we would like to do our part On Slide 12, you have the profit and loss as information then EBITA is 22.4% and what we report has been operating profit EBITA at 21.2%. Peter, would you like to?
Peter Kinnart: Yes. Mats, absolutely. So building further on that record operating profit, we have a smaller item, but net financial items have a bit turned in the other direction, I would say and that is related to the fact that we have had a little bit more short-term funding in view of some of the acquisitions we have recently done as well as of course an increased interest cost related to the funding we have. Then we end up with a profit before tax of SEK9 billion, which is 20.8% of revenues and an income tax expense of SEK2.1 billion. That means that the effective tax rate for this quarter is higher than what we see in the same period last year 23.1% versus 22.3% and I would say this is a little bit of a trend that we see happening, which is for the largest part related to the geographical spread of our growth. We seem to be growing more in those geographical areas where nominal tax rates are a bit higher and so our weighted nominal tax rate is going up, which then also materializes in an effective tax rate that is higher. Secondly for this quarter and this will also come back in the cash flow a little bit is that due to the fact that we are making higher profits we're also making higher provisions for withholding taxes related to those profits for the future and that altogether impacts a little bit the tax rate negatively. But nonetheless, in spite of this higher tax rate, we still end up with a profit for the period of just south of SEK7 billion, which is a 22% increase compared to the same quarter last year and that results then in basic earnings per share of SEK1.42 per share compared to SEK1.17. Return on capital employed, as already mentioned, of 30% and return on equity of 33%. The tax rate that we currently see, as I already said, is a kind of trend that we see in the last few quarters, and that's expected to continue to go up slightly in the near term. And so we will end up with a slightly higher effective tax rate also for the full year 2023 according to our calculations. If I move on to Slide number 13, where I would like to give a little bit more color on the profit bridge. Of course, we are very, very happy with this phenomenal operating profit that we've generated over the quarter. Even very proud I might say on our employees that have managed to turn this around. We had a bit of a dip in Q4 last year as you well remember and we promised that we would do a lot of activities to try to bend that trend and I think it's clear that if we look at these numbers looking at for the current quarter we have managed to achieve that, I would say. Of course, the drop through which adds 1.6% to the margin gives us -- is driven by price, volume and mix, which is able to compensate more than the material and labor increases we have seen and also the inefficiencies that are coming from the supply chain. Even though we still are facing some difficulties, it is less than before. And so these inefficiencies are also less pronounced than they used to be. And that also, of course, allows us to invest more in the organization, in marketing and also in R&D. The currency had a slightly negative impact of minus 0.6% on the bottom line operating profit. It had a positive absolute contribution of SEK230 million. If we think of the next quarter then I would say that all things being the same, it's rather likely that we would have a negative absolute amount probably along the same amount as we see this quarter, but then with a negative sign obviously. On the acquisitions, we also have a slightly dilutive effect of minus 0.6% and then the biggest negative impact actually on the margin was actually coming from the LTIs due to the fact that last year the stock price went down quite significantly in the second quarter while, as you remember, after last quarter the stock price went up quite substantially. So the combination of those two phenomenons resulted in a fairly high impact on the margin. But most importantly for me is the takeaway that the drop through has been really very, very solid and that is of course why we are able to deliver this record operating profit. Digging in a little bit deeper on the business areas, I would say the picture overall is quite similar across all of them. The currency effect tends to be slightly negative with exception of vacuum technique where it's close to zero as well power technique, but for city and industrial technique somewhat negative. The acquisitions across the business areas tend to be slightly dilutive considering the fact that we have of course in the first year always quite a lot of integration related costs et cetera, nothing out of the ordinary there. And then for all the business areas, I would say very strong or at least solid drop through where very high percentages in drop through have been achieved throughout the quarter on the different business areas, which I think was very encouraging and really nice to see that all these efforts from our organization are really paying off in such a fantastic bottom line result. If I move to Slide 15, we -- I will comment just a few things on the balance sheet. Of course to start with the intangible assets basically by far affected by the acquisitions we have executed throughout this year. Also positive currency effect on top of it, but the biggest impact is the acquisitions. We see the continued investments in expanding our own rental fleet for our specialty rental division particularly, but also other property, plant and equipment given the different investment decisions we have taken, mostly related to vacuum technique and compressor technique, but also for some -- for the other business areas. I think another big impact on the balance sheet is the working capital. Inventories continued to go up, but receivables grew up even faster. The receivables are of course fully in line with our development of the revenues and the invoicing that we are doing and there is actually no real concern about that height of revenues. We have a very good overdue ratio and we rather see improvement and deterioration there. The inventories also go up slightly less than the receivables. I think that's from our perspective let's say the only, small point of some concern and we are working together with the different business areas to try to turn this around. But of course, given the fact that we have still some issues with supply chain and some customers do not like to get partial shipments if they have ordered multiple different products, as well as the fact that some customers are pausing a little bit or maybe waiting a little bit to take the equipment off our hands. It will take a little bit of time, we think, to reduce that. But also there from a provision point of view we don't see any major concern. On the equity and liabilities, I think the equity I think is pretty straightforward. It's based on the profitability increase while at the same time of course we have paid dividends to our shareholders. The interest bearing liabilities are somewhat up due to the fact, as I said, that we have increased a little bit the short-term financing to do a number of transactions and this is short term because we expect we will be able to pay those short term financing back before -- by the end of the year based on our view. And then the non-interest bearing liabilities, the biggest part of that is related to trade payables, which goes hand in hand with the inventories, but also quite a mix of many other different type of things including, for example, customer advanced payments that we are trying to increase as well to mitigate in a way the impact of the inventories to some extent. So no shocking news I would say on the balance sheet in that sense. Then if I move to slide number 16 to the cash flow. Well, a couple of things I would like to highlight here. First of all a tremendous operating cash surplus generated from our operations of SEK11.1 billion, quite a high number. I already mentioned the impact of the net financial items also here on the cash flow, but then the taxes paid being quite a bit higher than same quarter last year. Again the nominal tax in different geographies leading to a higher weighted nominal tax rate. The increased withholding taxes on the profits that our subsidiaries have been paying to the another company based on the higher profits last year and also the final tax payment for 2022, which was done in many cases in the second quarter, which also tends to contribute to a higher tax amount paid. Then I already mentioned on the balance sheet the change in working capital, which also now with higher receivables especially, but also still somewhat increase in the inventories has also of course a negative impact on the cash flow. And that gives us then a cash flow from operating activities, which is slightly lower, very close to the cash flow we generated in the same period last year. Then we also continue to invest a little bit more in property, plant and equipment as you can see. And finally, we end up with an operating cash flow of SEK2.9 billion versus SEK3.1 billion for this quarter SEK7.8 billion compared to SEK5.5 billion for the year-to-date. And then one could say that the entire operating cash flow for this quarter has been used to finance our acquisitions of SEK2.6 billion. And with that we are close to, let's say, the end of the analysis of our results. Now I would like to hand back to Mats to give you some guidance on the near-term outlook.
Mats Rahmstrom: Okay. Thank you, Peter. In the outlook then we are trying then to compare activity levels between Q2 and Q3. Of course, we cannot look into the future either, but we're trying to be as transparent as we can. And in this case then we have said that we can sum up compared to the current high level. On the external factors, of course, we can see the manufacturing and PMI in Europe, US and China is below 50 today. And I guess the increased interest rates, eroding consumers, responsible income and of course that comes to us one day or the other. We can see that we were down 5% and organically in the quarter presently. And of the 23 divisions that we have, we had 11 that was growing and the remaining not. And that ratio had been a little bit different before. So you can see that it's more shallow there. You can see in the semi cycle where everyone then waiting for that to bottom out and then see when the next cycle is coming. And I think that many organization have talked about Q3, Q4, but we think that is a little bit pushed out maybe into the next year. And then it will be very interesting to follow the EV trend in China. In general. China interesting, but also the EV trend to see that's been massive investments over a number of years now. Will we see some sort of consolidation or not? We don't know. Over time it's of course a very strong trend to develop more EVs and more battery. But there has been quite a lot of and maybe we have seen when we talk to people not by evidence that the quotation for us is still very strong and good. But we see that there are postponement in the decision making and that's what we should highlight, that they say somewhat we can in our statement. I think that's the end. I think we can take questions.
Peter Kinnart: Yes. Thank you very much, Mats. Again before we start with the Q&A, I just would like to remind you again that we would really like to ask you to only ask one question at a time to leave time for your colleagues to ask their most important question. And then we are happy to come back to you if you have more questions, of course. And back to the operator.
Operator: [Operator Instructions ] The next question comes from Daniela Costa from Goldman Sachs. Please go ahead.
Daniela Costa: Good afternoon. Thank you so much for taking my question. Actually, I will keep it to the division. I normally don't start by asking, but on power techniques seems to have been where you've had the biggest deviation in terms of order trends versus where the street was. I understand that was impacted by the rental companies. Can you talk about what's the underlying without that impact from rental? What would it have done? What are the trends you're seeing there going forward?
Mats Rahmstrom: But for us I think we have seen trying to think about the product ranges a little bit less in the portables. That has been one of the things. And also the -- significantly I think I mentioned it before, that we have secured a second source of engine supply. So the lead times are coming down quite significantly. And we have been filling up the yards for some of the rental companies. On the other side even if it's 12% decline, it's still the second best for them. And as I mentioned early in the presentation, the newly required industrial business in this area is performing really well. But I'd say it's portable that is an indication.
Daniela Costa: Thank you. I'll go back into queue. Thanks.
Mats Rahmstrom: Thank you, Daniela.
Operator: The next question comes from James Moore from Redburn. Please go ahead.
Mats Rahmstrom: I think he stepped out.
Operator: James Moore, Redburn, your line is now unmuted. Please go ahead.
James Moore: [Technical Difficulty] regions and end markets and where you're seeing that specifically? And tied to that is whether you're able to monitor distributor or end OEM inventories of your products and the degree to which you think this sequential drop in equipment is and demand versus distributor destocking?
Peter Kinnart: I'm sorry, James, but we didn't get the first part of your question. So I'm sorry. Could you please repeat?
Mats Rahmstrom: James, could you please repeat your question? We didn't get first half.
James Moore: Hello? Did I get cut off? Can you hear me?
Peter Kinnart: Yes, we can hear you.
Mats Rahmstrom: Yes. Now we can hear you, but we could not hear the first part. Can you repeat, James?
James Moore: Hello?
Mats Rahmstrom: Hello? We can hear you, James.
James Moore: Hello? Hello?
Operator: James? The next question comes from Andrew Wilson from JPMorgan. Please go ahead.
Andrew Wilson: Hi. Good afternoon. Hopefully I'll be having a bit more luck than James. I'd like to ask around China, please. You sort of made, I guess, a few comments on the regional trends within the orders, but I guess more specifically in terms of what you're seeing on the ground in China and how that compares to maybe what you're expecting, I guess either in the Q1 or kind of heading into the Q2. Just trying to get a sense of what sort of changes you may or may not be seeing in terms of customer activity in China. Thank you.
Mats Rahmstrom: What we have seen over time is very strong investments in semi, continued efforts to take a leading position there and they are leading in electric vehicles as well, and they have continued to invest in that as well. But there are, of course, concerns about the protection in technology works. So I think we've seen a little bit over many ranges that it's been lacking some decision and speed of decisions in China. And I think it will play out now in Q3, so we have a better understanding if it is a temporary thing or if we will see business coming back. I don't know if Peter, you had something to add on that one as well?
Peter Kinnart: No, I think overall we see a bit of all the economic indicators that you are also very well aware of are pointing a little bit in an adverse direction, indicating that the pickup after the COVID period was maybe short lived and not as sustainable. But we will need to see in the next quarter whether that really persists or not.
Mats Rahmstrom: But maybe to add to that [Technical Difficulty] backing off that market at all. It's the other way around. We continue to invest in people, in competence more local for local manufacturing and sourcing. So for us, we still believe that you need to be number one in China to be number one in the world in the coming years. So we make sure that we are competitive brands in China.
Andrew Wilson: Thank you.
Operator: The next question comes from Guillermo Peigneux from UBS. Please go ahead.
Guillermo Peigneux: Good afternoon and thank you for taking my question. I wonder whether you could actually comment a little bit as well what you saw through the quarter, the run rates, exit run rates that you saw through the quarter in the order intake for industrial compressors leaving the more industrial production sensitive products that you have. Thank you.
Mats Rahmstrom: I think both when we talk about the industrials, both on the industrial smaller and slightly bigger than compressor, we don't include the gas and process in there. We have seen quite a flat development and we have not seen a difference between the smaller and the bigger. It's been about the same development for both these two ranges.
Guillermo Peigneux: And on the large gas and process compressors going into the LNG, could you also comment a little bit on the tendering activity, if that helps to gauge a little bit the activity on that market?
Mats Rahmstrom: No, it seems to be full speed ahead in the traditional oil and gas business, but also on the newer businesses that it's more renewable type of energies. And I think our product portfolio has changed over the number of years now. So it seems to be very, very solid and it turns to be a capacity you can see the development over number of quarters. For us now we are trying to bounce up the capacity to meet lead times for customers. So what's worse, it's still very positive in this quarter as well.
Guillermo Peigneux: Thank you.
Peter Kinnart: Thank you, Guillermo.
Operator: The next question comes from James Moore from Redburn. Please go ahead.
James Moore: Hi, everyone. I hope you can hear me again this time. I have a question on sequential demand. I was cut off, so maybe somebody else asked it. But you mentioned equipment orders are down Q-on-Q, service is flat. I wondered if you could just talk about really which regions and end markets in the core business that you're seeing that and whether you're able to monitor distributor or end manufacturer OEM inventories and whether you think this is a function of destocking or just more underlying demand?
Mats Rahmstrom: I think I can start and maybe Peter can help me with the geographical aspect. But sequentially, of course, with the strong order intake we had in Q1, we did not expect it to be anything else than down in this quarter. I think we were quite clear on that in the call. On the distributors, we don't physically or we don't have a digital connection to our distributors. We see their levels, considering that the orders they have placed, I will say that most of them in most of our business are stocked up now. And of course, our salespeople can physically go there and look at it, but there's no numbers on it. And maybe, Peter, can you help us with the geographical part of that?
Peter Kinnart: Well, I think for the different business areas, I think sequentially, down for the majority of them, geographically, I would say a bit mixed picture across the different business areas and the different geographies as well. So hard to give in just a few words a complete picture. I think North America has been a bit weaker, but of course we are also comparing to fairly high previous quarterly numbers, for example. But otherwise I think it's a bit of a mixed picture and difficult to give very specific guidance in this short call.
James Moore: Thank you very much.
Operator: The next question comes from Sebastian Kuenne from RBC. Please go ahead.
Sebastian Kuenne: [Technical Difficulty] everyone. My one question relates to the margin bridge specifically to the share incentive program that cost you about 120 bps in Q2 and is also a level like 3 times higher than what we saw in Q1. So I was wondering what the upcoming quarters should show in terms of share based incentive programs. Thank you very much.
Peter Kinnart: I think forward looking that's hard to say, of course, because it depends very much on the share development in the next quarter as of today or as of the 1 July, I would say. We know, of course, what we already adjusted for last year. Those numbers are public obviously. Then it will depend on the share development in the next quarter or in this particular quarter, how that impacts the result. The reason why the number is so high is because, like I said, you might remember, I think that the share was on a very high level at the end of 2021. And in that next few quarters, particularly the second quarter, there was quite a significant drop in the share price result due to the interest rates going up, et cetera. So basically the general market dynamics, while this year after Q1, we saw quite a substantial increase of the share price by roughly 15% in the very first few days after the report. And that, of course, creates two opposite effects that combined, if we compare year-on-year on the profitability has this SEK536 million impact. But to predict exactly what Q2, Q3 impact will be for the share price, I have to admit, if I knew that, I probably would not be here.
Sebastian Kuenne: Yeah, but all being equal, share remaining at that current level for the rest of the year, can you give an indication of the size of the share-based incentive program then?
Peter Kinnart: I don't have that number from the top of my head, but it is the adjustment we have seen on the LTI program during the last two quarters last year, but then reversed.
Sebastian Kuenne: Okay. Thank you very much.
Peter Kinnart: Welcome.
Operator: The next question comes from Gustaf Schwerin from Handelsbanken. Please go ahead.
Gustaf Schwerin: Yes. Thank you. I have a question on the very strong leverage in Vacuum Technique in the quarter. Is there anything specific sticking out here? Reason for asking is the previous comments you had on challenges to push prices here. Given the nature of the business as also the investment needs, do you think we will see sort of more normalized leverage here going forward? Thank you.
Peter Kinnart: Well, no, I think what I can say is that we were very pleased with the leverage that we have seen throughout this quarter. Q4 last year was quite difficult when it comes to a drop through for vacuum technique, Q1 was already significantly better. And I think all the measures that have been put in place, I think I said in the last quarter as well that okay we were happy to see already a good improvement, but we didn't have the impression that the full impact of the measures that are being taken are already in those numbers. And I think that's exactly what we see now, pulling through in the second quarter, combined with, of course, a very solid invoicing. But then on top of that, the measures to adjust a little bit of capacity to the lower utilization in the FAPs, for example, and a more paced approach to fitting out some of the investments we have made and so forth. I think that's the reason why we have seen that. Whether this will be exactly the same in the next quarter is, of course, hard to say. We do not have a target to maximize that to the extreme. We like to aim for 22% plus, let's say, margin for a Vacuum Technique. And we at the same time would like to continue to invest in the future with R&D within our organization, et cetera. So if we can, we would like, of course, to continue to have a very solid drop through like we have seen currently, but that will depend also a little bit on how the demand will develop in the next quarter.
Gustaf Schwerin: Okay. Thank you.
Operator: The next question comes from Ben Heelan from Bank of America. Please go ahead.
Ben Heelan: Yes. Thank you for taking the question. I wanted to ask about the decline that you saw in industrial and scientific vacuum. Was there anything specific that drove this? As from memory, it was relatively strong in Q1. So was there any particular driver of the change in trend there? Thank you.
Mats Rahmstrom: It's a rather small decline that we have seen. I would say it's more a general economic -- it's nothing specific in the range or any specific region that we can see at this point at least. So just a general decline of the business versus last year.
Ben Heelan: Okay. Thank you.
Operator: The next question comes from John Kim from Deutsche Bank. Please go ahead.
John Kim: Hi, everyone. More of a conceptual question here. There's a lot of news flow and talking about generative AI and how that affects data architectures and semi-cap spend. I'm wondering if you see any effects or possible effects over the next couple of years. While on the topic of VT, how can I put this? Are you seeing cancellations or orders getting delayed at levels abnormally high? Thanks.
Mats Rahmstrom: Was there a link between the AI and the cancellation or was it two different questions?
John Kim: Fair point. Separate questions, please.
Mats Rahmstrom: Okay. To start with AI. I mean, we have tried and explored a little bit when we review contracts and so on. I think it's been used also for spare parts lists, trying to consolidate a little bit information we have and see if it's possible and to automate many of these processes. I know there are experimentation doing in the lead generation with customers to see if we can ask the right questions with the right information to get leads in certain parts. So we think there is quite significant business value in this, but it's an early stage at this point. I also know that they're testing software programming. I think there are evidence that you can do it significantly faster if you get the help from AI. On the other side, we are a little bit cautious about cybersecurity to see what code we get into our products. We can secure that versus our company, but there is a lot of experimenting at this point. And then I think it will have a business value for us, but we don't know exactly where at this time. And of course, if we see a strong development of AI, that will drive our vacuum business quite significantly over time as well. So if we have the 5G development, we have AI, we have connected products in the industrial application, there's quite a number of opportunities for semi going forward.
Peter Kinnart: Then the cancellation.
Mats Rahmstrom: What was the second question on cancellation? Even if we shouldn't have a second question.
John Kim: Within VT, are you seeing project delays or cancellations abnormally high?
Mats Rahmstrom: No, it was fairly high in Q4 for the Group, it was SEK600 million now divided mainly between semi and power techniques. So if we see less cancellation in semi, but there are still some push-outs in terms of when they want delivery.
John Kim: Okay. Thank you.
Mats Rahmstrom: Thanks.
Peter Kinnart: Welcome.
Operator: The next question comes from Guillermo Peigneux from UBS. Please go ahead.
Guillermo Peigneux: Thank you for taking the follow-up. I wanted to ask about a statement you said, Mats, about 11 of the divisions still growing. And I wanted to clarify whether these business units you were referring to when you talk about growth is, I guess, order intake from a Y-o-Y perspective.
Mats Rahmstrom: It was just a reference so that we can help you in a transparent way to the outlook. And normally, in the past quarters we have seen organic growth in more divisions than we have right now. And I wanted to give you an indication then that out of the '23, there are then 11 that had organic growth in the quarter year-on-year.
Guillermo Peigneux: Yeah. Okay. Thank you.
Mats Rahmstrom: Thank you.
Operator: The next question comes from Marta Bruska from Berenberg. Please go ahead.
Marta Bruska: Hi. Good afternoon. Thank you for taking one question. Actually I would like to ask about the new range of pressure gauges you highlighted for Vacuum Technique. Could you please give us more detail regarding the technology it is based on? Is that the ceramic diaphragm or CDC type of gauge or what is the measurement principle? Thank you.
Mats Rahmstrom: It's a little bit difficult to hear you, but I understand it was something on Vacuum Technique.
Marta Bruska: Yes. [indiscernible]
Mats Rahmstrom: Okay.
Marta Bruska: So what is the technology behind it? I appreciate it's a bit technical question, so maybe I can clear it with Daniel afterwards. But if you know, I would be curious to know what is the technology that it is based on the CDC gauge or what type of gauge is that? Thank you.
Mats Rahmstrom: But we can help you with the technology brief. I think that's an offline call easier for us. But what we have done here over the last four years is that we start to exchange because we think this is a core product for us and we had an older generation and we also were sourcing some products and step by step then we have introduced with our own manufacturing and that has paid off really well for us. And we don't hide away from the technical question, but I think Daniel can help you to get the correct specification on the technology.
Marta Bruska: Thank you.
Operator: The next question comes from Sebastian Kuenne from RBC. Please go ahead.
Sebastian Kuenne: Hi. I have a follow-up question on volume price mix. There was a good contribution, let's say, from volume price mix in Q2. And given that you have maybe roughly five to six months lead time overall in the company, would it be fair to assume that we see further contributions to the margin from volume price mix going forward? Thank you very much.
Peter Kinnart: Well, Sebastian, of course, I think what we have been seeing is that the price component has been very good. We have worked a long time and very hard with all the different business areas to really make sure that we use pricing capabilities across the markets to defend, of course ourselves against the cost increases that everybody has been exposed to. Then secondly, now that supply chains are easing up a little bit, like you said, there are still some issues that we regularly are confronted with, but they are much less prevalent than they used to be. So that of course helps us to drive up the volume quite significantly and that you see in the record revenues that we are posting again for this quarter. Mix depends a little bit. In some cases this can have negative impact. If we think of Power Technique, for example, where the fact that there is such a high demand for equipment, then the relative weight of equipment sales versus rental activities, for example, is a little bit shifting and that has a bit of a negative mix effect for Power Technique, as one example to mention. Whether we can simply, let's say, extrapolate this into the future I think is a little bit tricky. Because I think, as everybody sees, with inflationary pressures high still in the markets, even though there are a few markets where it is improving a little bit now, but it of course continues to and also the raw material prices actually being lower, it is very likely that we will see some pushback from customers. After having accepted price increases, they might be less accepting future price increases again. So that same kind of pricing impact and volume impact might not be there in exactly the same way. Again, we don't have a very firm target on the drop through. We have historically over a longer period of time seen a drop through of about 35% and I think that's a very nice value to achieve. We have outperformed that in a couple of cases this quarter, but we'll have to see next quarter how all the different elements in the mix will play their part.
Sebastian Kuenne: Thank you very much.
Operator: The next question comes from Andrew Wilson from JP Morgan. Please go ahead.
Andrew Wilson: Hi, again. Thank you for taking the follow up. I just wanted to pick up just on your comment around the outlook in vacuum, Mats, and I guess the sort of slightly longer timeline maybe than as you said has been sort of outlined elsewhere. I just wondered if there was anything specific that you were either hearing or seeing that you could point to for expecting that to be a little bit elongated or if there was anything either company specific as well that you'd like to highlight just in terms of thinking around that timeline. Thank you.
Mats Rahmstrom: Yeah. No, but when I refer to them there is of course a number of association that predict and are in communication with the bigger semi companies to ask about the predictions of the capex quarter by quarter. And the only thing we actually know is that they're always wrong and they change from quarter to quarter. But what we have seen then of course in quotation is that if the market would return or we will see big orders in a cycle coming back with the booming business, then I think we would have seen that now in the quotations. So what we see is that well this is probably just pushed out a little bit and we can also see some of the announcements from Samsung and some other that they make in media. So I think you can draw the conclusion that it's probably a little bit delayed at least, but the demand is still there. So for us it doesn't really make a big difference, but I think many have speculated that we will see it coming back earlier than at least what we expected.
Andrew Wilson: Thank you very much.
Operator: The next question comes from Klas Bergelind from Citi. Please go ahead.
Mats Rahmstrom: We don't hear you Klas.
Klas Bergelind: Hi. Can you hear me now?
Mats Rahmstrom: Now we can hear you.
Klas Bergelind: Fantastic. Hi, Mats, Peter. Klas at Citi So I was late on the call, very busy day, but maybe you have touched on this, but I just want to follow up on the decarbonization led growth that we see in Compressor Technique. Obviously, we knew about the very large orders, LNG and carbon capture in the first quarter and we don't have as many right now. But can you just confirm that these are still very much sort of growth drivers relative to obviously the weakness you're touching on in the general engineering segment, sort of more old economy verticals? I'll start here.
Mats Rahmstrom: No, but -- I mean, we don't have it as an official measurement in the group, but what we are trying to just consolidate and get the feeling for some of the growth platforms that is linked to sustainable segments and renewable energy. That could be then wind, for example, could be solar, it could be battery manufacturing and that continue. I don't think, Klas, there is any way that that's going to go back as long as society continues to demand renewable energy and less CO2. So it will go up and down from quarter to quarter. But we have a good product portfolio for that, not only in CT, but in many other areas as well. And for us, it continues in this quarter as well in a very good way for us although it's continued.
Klas Bergelind: That's good. The reason why I asked is that last time you highlighted carbon capture, end of the quarter, you don't highlight it now in the report. But I guess that was just the lumpiness of large orders, I assume.
Mats Rahmstrom: I mean, carbon capture for us, we do the compression part, we don't do the catching at all. But it depends a little bit on different programs. I mean, it's not a widely used technology like everywhere in the world. So over time, I think if this will be the solution then to catch carbon, then we will have a more stable demand for this type of equipment as well. But now it's a little bit more project based. It will go up and down, but it can be significant for us.
Klas Bergelind: Yeah. Very quick final one on rental and the comment you made in Power Technique and obviously we had a seasonality on the rental side before, but sort of is this beyond seasonality? Are you seeing sort of lower investment levels also year-over-year?
Mats Rahmstrom: I don't know. But we see seasonality, of course. We always expect a very strong Q1. But what I mentioned earlier when you were not on the call then, was that the complete pump business that we are now developing, which is performing really well there, there you will take out the seasonality and you will build a new opportunity for service as well. So when we industrialize Power Technique, you will see more -- less seasonality in those numbers, with exception also of the traditional core, so to say. But the pump and flow business is growing rapidly and it's one of the bigger divisions already.
Klas Bergelind: That's great. Thank you.
Mats Rahmstrom: Okay, Klas.
Peter Kinnart: Thank you, Klas. And with that, we are coming to the end of the call. I see that there are still a few people in the queue now for some additional questions, I would like to offer you to of course reach out to our Investor Relations team and to definitely bring those questions forward. But for now, we will close the call. Thank you very much for attending and looking forward to meet meeting you in person in the coming months. Thank you very much. Have a nice afternoon. Bye-bye.